Operator: Good afternoon and welcome to the Aqua Metals Second Quarter Financial Results Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. You could submit a question via the web at any time by typing them in the "Ask a Question" field. [Operator Instructions]. Please note, that this conference is being recorded. I will now turn the conference over to our host, Glen Akselrod, Spokesperson with Bristol Capital. Thank you. You may begin.
Glen Akselrod: All right. Thank you, Diego, and thank you everybody for joining Aqua Metals second quarter 2022 results conference call. Earlier today Aqua Metals released financial results for the quarter ended June 30, 2022. This release is available on the Investors section on the company’s website at www.aquametals.com. Joining us for today’s call from management is Steve Cotton, President and CEO; Judd Merrill, the company’s Chief Financial Officer; and Ben Taecker, Chief Engineering and Operating Officer. During today’s call, management will be making forward-looking statements. Please refer to the company’s report on the Form 10-Q filed today, July 21. For a summary of the forward-looking statements and the risks, uncertainties and other factors that could cause actual results to differ materially from those forward-looking statements. Aqua Metals cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur, except as required by law. As a reminder, after managements formal remarks we’ll be taking questions. Questions will be accepted over the telephone from analysts and all other investors can submit a question using the online webinar portal provided in today's and last week's press releases. We will take as many questions as we can in our available time slot. And with that, I’d like to turn the call over to Steve Cotton, CEO of Aqua Metals. Steve, please go ahead.
Steve Cotton: Thank you, Glen. Okay, thanks, Glen, for taking everybody through the Safe Harbor. So I'll move on to the next slide, which is our mission, which will be the first slide that I present today. And this is a presentation that's geared towards updates of what we are doing, but also some reminders and new information for those that are new to the Aqua Metals story. Our mission is to provide sustainable metal recycling for materials that are strategic to energy storage applications. And our technology, which we call AquaRefining, returns raw materials directly back to the manufacturing supply chain in both a clean way and an economical way, thus reducing reliance on mining to meet the growing demand for energy storage systems that are battery-based. On the next slide, we are the only recycling technologies that are aligned with the U.S. Department of Energy Vision, which is to use air and water to recycle and electricity to recycle critical battery minerals. We have PB AquaRefining, which stands for lead AquaRefining, which is commercialized and we'll talk about our process and where we are with the first deployment with our first licensee and we have lithium AquaRefining, both of which are room temperature closed loop and fundamentally non-pollutive processes. The lead AquaRefining is commercially proven and we are deploying that with our first licensee in Taiwan later this month, and we'll get into some more details on that in the future slide. And we've been expanding rapidly into the critical minerals associated with recycling lithium-ion batteries. And those periodic table of the elements symbol stands for cobalt, nickel, manganese, copper and lithium, for which you'll see examples in this presentation of what we've been able to accomplish with our lithium AquaRefining efforts and the results of extracting those critical elements. Our process is also cleaner and more cost-efficient recovery in a very efficient recycling processes compared to incumbent smelting processes. And what we see out in the marketplace is what we characterize as traditional hydrometallurgical processes as compared to our AquaRefining process. We also produced a very high-quality product, and we'll explain that and show you some pictures of the products that we created already with the lithium AquaRefining process. And our entire set of technologies is really well patent protected. And we'll talk about that in the future slide as well. Moving on to Slide 5, I want to summarize for everybody our very active Q2 2022 highlights that we've accomplished just this past quarter. First off, all the AquaRefining equipment for the lead AquaRefining licensee at ACME Metal Enterprises arrived in Taiwan, and installation and conditioning is set to commence this month in July. To-date, we have also successfully recovered all the high value metals and minerals from used lithium-ion batteries, including high purity lithium hydroxide, copper, nickel, cobalt and manganese dioxide. We made an announcement today that we'll talk about lithium hydroxide, and I'll ask Ben to kind of take everybody through what these minerals look like as we extract them. Third, we proved the bench scale our clean and economical metals recycling process. Fourth, we initiated deployment of our first lithium-ion recycling pilot operation, which is located at our innovation center in the Tahoe Reno Industrial Center and that is slated to begin operations later this year, only a matter of several weeks. Next, we signed a letter of intent which was announced today with Dragonfly Energy Corporation. Dragonfly Energy is a lithium-ion battery producer and they would purchase commercial quantities of lithium hydroxide from Aqua Metals sourced sustainably from recycling to support the ongoing development of their solid state lithium-ion battery technologies and future manufacturing activities. Dragonfly Energy by the way is located right here in the Tahoe Reno area as well. And Aqua Metals will also be providing recycling services from scrap materials from Dragonfly Energy as feedstock into our process. Lastly, and certainly not least, is our technology allows us and we believe only us to make 100% of our operations using the electron as the reagent instead of fire chemicals, including our offices and the innovation center 100% powered by renewable energy. So we are already 100% RE today as a company and we will be operating the pilot plant that will be turning on very soon with that covered and to prove that you can truly and sustainably recycle lithium-ion batteries with renewable energy sources. Next Slide number six a little bit more about our deployments in Taiwan. This is slated to have the installation commissioning and early ramp of the first phase of the deployment happen in a very near-term, peak time period where as the installation site is prepped. The team is traveling to ACME beginning in just a matter of days this month and all major and equipment and electrolyte as pictured as you can see is on site. And the Phase I estimated completion is going to be by October of this year. So very quick path to success with our Phase 1 is what we anticipate and that is commencing again in a matter of days really. This next slide is a little bit more about Dragonfly Energy. This is a picture of one of their locations here in the Tahoe Reno area. Lithium AquaRefining uniquely recovers the high value lithium that's currently lost in the smelting process today of the 5% of batteries that are recycled their lithium batteries while the other 95% in the landfill. There's a total of zero lithium recovery with smelting incumbent processes. Lithium AquaRefining allows us to recover all -- nearly all of the lithium. Dragonfly would purchase commercial quantities of the lithium hydroxide beginning with our pilot plant for ongoing development of solid state lithium-ion battery technologies and future manufacturing activities. Aqua Metals will also provide the recycling services associated with the scrap materials as well as lithium-ion cells that come back from Dragonfly Energy. Dragonfly expects to begin production of its solid-state pilot line as early as 2023, which is quite exciting to see such a large facility being planned for 2023 production of lithium being sourced not only as through traditional resources, but through sustainable methods such as Aqua Metals. So we and Dragonfly are very excited to embark upon this partnership. I'm going to now ask Ben Taecker, our Chief Engineering and Operations Officer, to take us through some of our recent achievements this quarter with the Innovation Center, and I'll turn it over to Ben. Ben, go ahead.
Ben Taecker: Thanks, Steve. I'll start on Slide eight. On the left side, you can see black mass that we've taken into our Innovation Center here in the Tahoe Reno area and produced the array of metals and compounds that you see to the right. The metals in particular, are extremely high value in the form that we produced because of their purity. And they're able to be sold back into the commodity market or into the battery market. The other three, the lithium, the nickel, and the manganese dioxide are all in compounds that makes them extremely valuable, again as a commodity versus trying to meet a [PTAM] [ph] spec. This allows us to bypass long qualification processes, it makes it real easy to sell to a large array of customers that are looking for these metals right now. On Slide nine, the Innovation Center, we are currently have this facility prepped we've got the utilities put in place, and ready for the equipment to start coming in. All of the major equipment is on order and we're tracking each piece and we see everything coming in on time in the August/September timeframe that will allow us to start commissioning this facility in October. And hopefully in the month of November, we're bringing on visitors potential partners, potential customers, that we can show off this facility and show off the product at a significant scale on the output side. We've hired the key team members to support this. And we've also started working on offtake agreements, we do have the black mass procured for this operation. And we use the data from our lab scale testing to support the design and the scale of this facility following a standard chemical industry practice to allow it to scale successfully without issue. And that's it, with that I'll turn it back over to Steve for summary.
Steve Cotton: So also in Slide 10, there's another view of the innovation center, just to give people a perspective of what the other side of the pilot will look like. And then on the left there, you'll see where the black mass goes into the process at the beginning of the process. So we wanted everybody to be seated to be able to see that view in addition to what Ben just mentioned. I'm going to go now on to Slide 11 and summarize what we've just told everybody and then I'm going to be handing it over to Judd Merrill, our CFO to talk through our financial results. So summarizing, ACME, Taiwan is on track for Q3 installation, commissioning and ramp for the lead AquaRefining licensing operations. So we're very excited about that. The lithium-ion AquaRefining pilot is on track, as Ben mentioned, to begin operations in Q3. And we're targeting Lithium-Ion initial AquaRefining revenue as early as Q4 this year. Dragonfly Energy Letter of Intent has been signed and announced today. So again, that partnership is one that we're very excited about. And we anticipate that we'll be establishing further feedstock and off take relationships that we'll be able to announce the future date. Lastly, all operations are powered by that renewable electricity and we expect to be the greenest and most economical lithium recycling technology available. With that, I'm going to hand it over to Judd Merrill, our CFO for the financial overview.
Judd Merrill: Thanks, Steve. I have a few comments on each one of the company's financial statements. And so first of all I will start with the balance sheet. So we did in the quarter with total cash of approximately 6.4 million, and we had working capital of approximately 21 million. Our strong working capital balance keeps us healthy as we move forward into our -- with our current activities, even into next year. One of the bigger portions of working capital balance is about 16 million lease receivable related to the sale of the plant to LiNiCo. We are only a few months away from collecting the remaining balance which we expect to collect either by October 1 of this year, or by March 2023 depending on whether LiNiCo exercises its ability to pay off early or wait the full term. So this puts the collection use funds in the next two to eight months. There was very little change in the company's liabilities as compared to year-end, and the company continues to be debt free. There were no other significant changes on our balance sheet so I'll move to the income statement. During the second quarter of 2022 Aqua Metals continue to focus on the research and development activities related to lithium-ion battery, recycling and also we focused on the preparation of commissioning ACME metals facility. The company did not -- was not in any commercial production during 2022 and as a result, no significant revenues were generated during the quarter. On the cost of product sales, it decreased by approximately 51% during the quarter to 1 million compared to 2.1 in Q2 2021. And this decrease in this quarter was due to ramping up with the plant cleanup projects. Research and development costs, which included expenditures related to improving lithium-ion battery, AquaRefining technology during the three months of June 30 -- that ended June 30, 2022. This increased during the quarter by approximately 196% compared to the three months ended June 30, 2021. As we've talked through this presentation, this R&D is crucial and part of our business strategy and really focuses on further advancing the development of the AquaRefining of the lithium batteries. So these costs included expenditures made towards building out our pilot facility, which we said is expected to be commissioned later this year. General and Administrative expenses increased approximately 12% for the three months ended June 30, 2022, compared to the three months ended, June 30, 2021. Increases in this category included changes in stock-based comp and increase in professional fees. For the second quarter of 2022, the company had an operating loss of 4 million compared to an operating loss of 4.4 million for the second quarter of 2021. And net loss for the second quarter 2022 was 3.2 million or $0.04 per basic and diluted share compared to net loss of 8 million or $0.12 per basic and diluted share for the second quarter of 2021. And so finally on the cash flow statement. So net cash used in operating activities for six months ended June 30, 2022 and 2021 was 6.3 million and 4.9 million respectively. Q2 cash needs are actually a little lower than we had in Q1. Q1 is actually typically a little higher, but this quarter's average monthly base cash needs total a little over 750,000 per month. But we do expect Q3 and Q4 to be in that 800,000 to about 850,000 per month range. This increase is over the next two quarters largely due to the addition of more employees and consultants as we invest more in the lithium-ion battery recycling technology. Net cash used in investing activities for the six months ended June 30, 2022 was 0.4 million. And it was really made up of three items first, cash 1 million cash used towards the purchase of property, plant, equipment or property equipment. Second cash used 0.5 million used towards the warrant exercise in LiNiCo that we did. And then these two cash uses were offset by 1.1 million proceeds from the sale of equipment. And net cash used by -- provided by financing activities was 5 million for the six months ended June 30, 2022. And that really consisted of 4.6 million net proceeds from the sell of Aqua Metals shares pursuant to the ATM and 0.4 million proceeds from the lease of the building. Almost all dates and receipts were Q1. So our current cash balance, asset sales, monthly lease payments, expected minor revenues from the ACME and pilot operations and the completion of the sale of the plant building keeps our balance sheet healthy and allows us to execute our business strategy throughout the rest of this year and into 2023. And with that, that concludes my remarks on the financials. I will now turn it back over to the moderator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. Judd, I just want to make sure I understand the cash flow here and how much diligence you've done around being able to collect on that receivable. So it sounds like you're going to be able to collect the vast majority of that outstanding receivable by October 1. And I guess, how confident are you that that cash is available right now?
Judd Merrill: Yes. So we've had discussions with LiNiCo and their major investor Comstock and all indications that we received from them, is those funds will be here and we feel very confident in that. The only question mark is exactly when, because they do have the option to wait till March. So if they exercise that option to wait till March, there is a $2 million non-refundable deposit required to be made. So we see cash coming in, for sure, in the short-term, it could be the smaller amount, it could be the large amount. But for sure, we feel very confident that by the end of the term that we'll have received the full payment on the building.
Colin Rusch: Okay. That's super helpful. And then, on the technical side, you guys said, I'm curious about kind of the hydroxide volumes that you guys are producing. And one of the issues that we're seeing coming up with some of the newer technologies is really, what's in that 0.1% of contaminants given the kind of robustness of this process, I'm curious what you can say about your ability to control and remove particular contaminants within these concentrates.
Ben Taecker: Yes. So the contaminants are probably not going to go into the specifics of the contaminants. But what we do see is that we are able to meet the industry specs, we've set out some goals that are in line with those industry specs, but we expect to be able to exceed those goals significantly when we reach the pilot unit because of some of the lessons learned. So I see our purity going up. But based on the initial samples and testing that we've done both internally and externally, we're quite excited that we won't have any problems meeting customer specs with impurities.
Colin Rusch: Okay, perfect. Thanks, guys.
Operator: Our next question comes from Amit Dayal with HC Wainwright. Please go ahead.
Amit Dayal: Thank you. Good afternoon, everyone. With respect to this pilot facility coming up for the lithium-ion recycling, how big in terms of volumes capacity, any indications of how big this facility will be?
Ben Taecker: The facility is designed to process 100 tons per year initially that'll allow us to reach a significant scale on a monthly basis, significant amount of product of each one of these metals coming through as a result, we'll end up with tons of materials of cobalt, nickel. In the middle of 2022, we intend to start ramping towards 1,000 tons per year rate, with the goal of getting to a significant revenue and significant volume through our pilot operation.
Amit Dayal: Understood. So this is 100 tons of black mass, right, you are talking about?
Ben Taecker: That is correct, yes.
Amit Dayal: Okay. Got it. What are the expenses required to do, set all this up initially, CapEx for this?
Judd Merrill: Amit, this is Judd. So we've made public that our initial R&D budget for this year is $3 million. And so a lot of that what Ben was talking about that 100 times annual capacity is covered in that R&D budget and covered in the net cost that we're talking about this year.
Amit Dayal: Okay, got it. Thank you for that. Just moving on to the AquaRefining offering any new potential customers or maybe you could talk about the pipeline for that offering?
Steve Cotton: Sure. So, for the lead AquaRefining, the real eye in the ball right now is to get the ACME Taiwan showcase facility up and running. But we have had and continue to have engagements with various players in the marketplace that are interested in lead AquaRefining. And as I've said before, it is typically in greenfield new builds. But there's also opportunities for us to be looking at pilots of lead AquaRefining even within existing facilities. So we continue to work on that sales funnel, but again, with the eye on the ball of success with the ACME Taiwan deployment. But stay tuned to see more news potentially on the lead front as we continue to work through that sales funnel. On the lithium side, we've already announced our collaboration development agreement with LiNiCo, so in addition to our pilot operations that will be happening at our Innovation Center, we have great opportunity with LiNiCo to expand and scale within the facility that is formerly the Aqua Refinery and that's about 140,000 square foot facility less -- about just about a mile away from our innovation center. And we see opportunity on how we work out the commercial arrangement with LiNiCo, we have not announced yet, how that will look. That's the next step is what the commercial arrangements will be. And that could be licensing, joint venture co-processing and that business model is something that we will share as soon as we finalize what those agreements look like with LiNiCo. We were also looking at joint venture opportunities, partnership opportunities, organic plant builds of our own and elsewhere. But it's really one step at a time and we're going to get the pilot up and running and scale that to demonstration quantities as Ben mentioned, while we explore these opportunities, and at the appropriate time, we'll be able to announce what those next steps look like the lithium AquaRefining deployments.
Amit Dayal: Thank you for that. And with respect to Dragonfly, do you have any sense of how much volume they can sort of take from you guys?
Steve Cotton: So we -- in the earlier days, we'll be able to provide them some samples of the lithium hydroxide very soon coming off of our equipment. And as we scale, it will scale to tons of availability as they begin to develop their solid-state lithium capabilities. And ultimately, they will outpace with their growth, probably our ability to supply. But, however, our ability to scale and keep up with their demand, as well as other parties demands, should begin to really ramp up as we partner with LiNiCo and deployed future deployments. So we see the lithium hydroxide partnership with Dragonfly as a great start. And really, it's a co-development start with ultimate supply that goes into their new product, again, where they're going to be taking the raw materials and doing the cell manufacturing, right here in Tahoe Reno. So it's a great sustainable local source for them. And it's also a great opportunity for us to work with others, to also provide those great materials that are coming off of our process inclusive of the metals, as well as lithium hydroxide.
Amit Dayal: Understood. That's all I have. Thank you so much, guys.
Steve Cotton: Thanks.
Operator: Thank you. Your next question comes from Shawn Severson with Water Tower Research. Please go ahead.
Steve Cotton: John, if you're speaking, we can't hear you. You might be muted.
Shawn Severson: Can you hear me?
Steve Cotton: Now, we can.
Operator: Mr. Severson looks like you have poor connection. If you want to call back.
Glen Akselrod: Why don't we take some questions online, Steve, while Shawn reconnects and didn't have time to do so. We've got a few questions in the queue. So I'll just get going with it. There's probably three or four questions that are really around your current financial positioning and working capital needs. And maybe Judd can sort of summarize for our audience a finance plan or a cash flow plan to make sure that you've got the necessary resources to continue and then grow the business beyond the stated cash position.
Judd Merrill: Yes. Thanks, Glen. I will try to answer those questions. Yes, so we ended the quarter with 6.4 million, and we've been watching to make sure our expenses stay very much in line. If you actually look at 2020, 21 and so far first quarter -- two quarters of 2022, our expenses have been fairly close overall. So that's one way that we manage cash very diligently. As I mentioned, we do have the sell. We did sell 1.1 million of assets in the first half. We have another million or so of assets are held for sale that we expect to collect some of that on. So all these things add to our cash balance, lease payments on the building. The biggest chunk that I've already kind of talked about is the 14 million that still due on the buildings that we expect to collect in the next two to eight months. So if you add all those together, and our current spend rate, to get us up to this initial pilot plant, and start generating revenue in 2023. We see that rate exists all the way through this year and even into the end of 2023, just from that, those sources of cash, and never really talked about what to expect the revenues to be. We haven't given guidance on that. We're not planning to do that today. But there will be some revenues coming in. And so that will also be another source of cash. So we feel very confident. It's something we look at very closely. I will mention too, there's another source of cash out there, it's non-dilutive, that we're very serious about and those are government grants and government loans. And we've spent a lot of time internally looking at these, we've actually hired consultants who are experts, because there's a large amount of the government grants that are available right now, just become available that very much fit the battery recycling business model fits what we're doing. So we're going to be very active and aggressively going after those things. And those would be -- we don't need those necessarily now for our current cash needs. But those will be for when we want to expand and grow. And that's what we're looking at. That's what that's a big source that we're very serious about.
Glen Akselrod: Thanks, Judd. And actually, it's a good place to start from your last point on the grant because we do have a question regarding to grant. So maybe you could give the audience a better understanding of sort of the milestones that you have to handle or what specific type of grants are available -- Aqua Metals would be able to apply for?
Steve Cotton: Yes. So the ones that we're looking at are mainly from the Department of Energy. And from the infrastructure money that was passed by Congress and the President last year, those funds are being funneled through Department of Energy. There's some other sources but that's kind of the main one. And there's some very large dollar amounts, 50 million plus, that are focused on the battery recycling portion of it. That is the piece that we're looking at. There are some smaller ones that we looked at from time to time, very small hundreds of 1000s to low millions. If we qualify for those, we will apply for them, but it's the larger one. And we're currently in the process of getting through like we understand what some of the criteria are to applying for these in terms of like getting certain partnerships in place, getting certain documentation in place. And so we're going through that right now as it become available, we will apply for them.
Glen Akselrod: Okay. Thank you for that. Next question is how does Aqua Metals plan to use or to access the 100% renewable energy as discussed in the press release?
Steve Cotton: Yes. So already, NV Energy supplies us with a good renewable energy mix. Ben, I believe that's around 30$ to 40%?
Ben Taecker: It’s in the main 30 to south range.
Steve Cotton: Yes. So we were getting a core set of renewable energy from that source. But in our drive to make sure that we reach ultimately a net zero recycling operation and company-wide net zero of the key first steps is that renewable energy credit area, and that's where because our process is powered by electricity, we can buy electricity, renewable energy credits, which we've already secured. And as I mentioned earlier today, the company is already operating, not only the innovation center, but our corporate offices on renewable energy through the acquisition of those renewable energy credits. And we think that's kind of a great unique advantage of AquaRefining using the electrons, the reagents, because you can't buy renewable energy credits for fossil fuels and things like that which power the incumbent recycling technologies or for chemicals for that matter and the standard hydro processes. So that is how we have the renewable energy credits set up today. And that's our focus. And we'll be providing more information in the coming weeks and months on Aqua Metals journey and pathway to be a net zero company. And we find that that is going to be a very important aspect because as we engage and talk with potential joint venture partners and feedstock suppliers and offtake partners, that is, really any of those companies are all on that same drive towards net zero. And we're going to be the partner of choice, we believe, because we have the ability to achieve net zero, particularly starting with that renewable energy on where we are already, as we sit today.
Glen Akselrod: Perfect. Thank you, Steve. Question about the letter of intent announced earlier today. Can you just take, I guess, the audience through the steps that need to occur from conversion from a LoI to final legally binding document?
Steve Cotton: Yes. So just from a commercial perspective, I'll comment and then I'll ask Ben to kind of comment on what the technical flow will look like. But on the commercial perspective, the letter of intent is basically the meeting of the minds as far as how we would proceed. And we'll work out the definitive agreement with Dragonfly and that will have details in it about when and how much lithium hydroxide will provide them. And ultimately, what our volume commitments will be over a probably a multi-year period. And we'll set up that commercial definitive agreement. We don't anticipate that to be too terribly long. So probably, we'll be reporting on that between now and the next quarterly updates. And then I'll let Ben speak to the kind of the technical process of how we would get it from the pilot operation over to them and how that analysis might look.
Ben Taecker: Yes. Thanks, Steve. So as we ramp the pilot later this year, that allow us to give material to Dragonfly that allow them to go through a vendor qualification process. We've already started meeting with them. We've been at joint technical meetings with them, where we discussed specification, things like that. So we understand their requirements. And again, we see no issue of meeting those requirements. So later this year, we should be well on our way on the vendor qualification process to support them going forward.
Glen Akselrod: Thank you. Next question is, you mentioned the supply of black mass, you've already secured for your pilot plants. Can you talk a little bit more about where that supply comes from and your strategy around a diversified list of suppliers for that black mass?
Ben Taecker: Yes. This is an area where we've been quite aggressive. Above our agreement with LiNiCo, we have multiple suppliers already qualified and we have several more that are in the works being qualified. So we've already announced that we've got our feedstock secured through the next 12 months. And we see that just becoming more and more secure as we go forward. This also has allowed us to prove that our process, our technical process, can work with a variety of different black mass providers. And each one has their own way of processing and developing it. So it's been a great advantage for us to have multiple suppliers on the board.
Glen Akselrod: Perfect. Thank you, Ben. Question around patents? Can we just update the audience on the AquaRefining patents? Are there any new patents given the new entry into the lithium-ion space and how investors should think about patents and if there's any patent applications for the mining industry?
Steve Cotton: So we have always taken our patent portfolio quite seriously. And have well over 70 patents that have already been issued and allowed for the AquaRefining, in general, inclusive of which includes portions of the aspects of copper recovery and things like that for the lithium process. But we've also applied for provisionally not only one, which has gone into a pending status, but another set of patent material for the lithium AquaRefining suite. So we feel that prosecution of that IP, prosecution being defined as getting the patents issued and allowed is a critical part of our strategy, particularly in the lithium AquaRefining space because there's going to be many companies that are in this space and employees move from company-to-company and you need to make sure that you very carefully protect your patents. You might find other companies talk about how they have trade secrets. We believe that that value creation and enterprise value ultimately is also in the patent portfolio. We do choose where we put things into the patents, which is where you publish it publicly, and other areas that we do keep trade secrets on our own, but the core patent is also critical if you're going to be considering licensing the technology in any business transactions. And as I mentioned earlier, with lithium AquaRefining, we intend to operate as a licensor but also as an operator and a joint venture partner. So that IP portfolio is a very critical aspect of our strategy. I think unique to Aqua Metals.
Glen Akselrod: Perfect. There's no more questions in the online. Maybe Shawn is back on, we can take his phone question and then end the call.
Operator: Thank you. We do have phone question from Shawn Severson, Water Tower Research. Please go ahead. Shawn Severson Your line is open. Okay, Mr. Severson still sounds like you're in a very poor connection.
Shawn Severson: Can you hear?
Steve Cotton: Yes. Looks like we can't hear Shawn unfortunately.
Operator: Okay, there are no further questions. I'll hand the floor back to our speakers for any closing remarks.
Steve Cotton: Well, I appreciate everybody joining the call today. Stay tuned for more developments as they happen. And we feel that it's going to be a very busy rest of the summer and fall as we get through the materials that we've taken you through today with the pilot and the deployment in Taiwan, and for the commercial opportunities that we have on our funnel. And we look forward to reporting those to our shareholders and stakeholders and interested parties. If anybody has questions in the meantime, feel free to contact us and we look forward to our next quarterly update call. Thanks again.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a good day.